Operator: Good morning, ladies and gentlemen. Welcome to the Cohen & Company's First Quarter 2023 Earnings Call. My name is Alicia, and I'll be your operator for today. Before we begin, Cohen & Company would like to remind everyone that some of the statements the company makes during this call may contain forward-looking statements under applicable security laws. These statements may involve risks and uncertainties that could cause the company's actual results to differ materially from the results discussed in such forward-looking statements. The forward-looking statements made during this call are made only as of the date of this call, and the company undertakes no obligation to update such statements to reflect subsequent events or circumstances. Cohen & Company advises you to read the cautionary note regarding forward-looking statements in its earnings release and its most recent annual report on Form 10-K filed with the SEC. I would like now to turn the call over to Mr. Lester Brafman, Chief Executive Officer of Cohen & Company.
Lester Brafman: Thank you, Alicia, and thank you, everyone, for joining us for our first quarter 2023 earnings call. With me on the call is Joe Pooler, our CFO. Our investment portfolio continues to impact our results as our combined negative principal transaction revenue and loss from equity method affiliates amounted to $3 million for the quarter. The prolonged slump in investment banking and origination resulted in less-than-expected new issue and advisory revenues during the quarter. We strongly believe in our team of bankers and originators as we continue to build our pipeline and look forward to more favorable capital markets. As we move forward, we remain focused on enhancing stockholder value. In the first quarter, we continued to pay our quarterly dividend. Now I will turn the call over to Joe to walk through the quarter's financial highlights in more detail.
Joe Pooler: Thank you, Lester. We'll start with our statement of operations. Our net loss attributable to Cohen & Company Inc. was $2.6 million for the quarter or $1.77 per fully diluted share compared to net loss of $3 million for the prior quarter or $2.10 per fully diluted share, and net loss of $7.6 million for the prior year quarter or $5.46 per fully diluted share. Our adjusted pretax loss was $9.6 million for the quarter compared to adjusted pretax loss of $6.1 million for the prior quarter and adjusted pretax loss of $18.6 million for the prior-year quarter. Note that adjusted pretax loss is not a measure recognized under U.S. GAAP. See our disclosures, calculations and reconciliations surrounding adjusted pretax loss in our earnings release. First quarter '23 principal transactions and other revenue was negative $2.3 million. The negative principal transactions and other revenue was primarily due to mark-to-market adjustments on our principal investments related to our involvement in the SPAC market as a sponsor, asset manager and investor, which has resulted in increased holdings of public equity positions in post-business combination companies. Principal transactions revenue includes all gains and losses and income earned on our $22.4 million investment portfolio classified as other investments at fair value on our balance sheet. Net trading revenue came in at $8.2 million in the first quarter, down $1.4 million from the fourth quarter and $3.8 million from the first quarter of '22. The decrease from both of the prior quarters was due primarily to lower trading revenue from our mortgage group. New issue and advisory revenue was $0.9 million in the first quarter, a decrease of $3.3 million from the fourth quarter and $2.9 million from the year ago quarter. Our asset management revenue totaled $2 million in the quarter, which was up $0.3 million from the prior quarter and $0.1 million from the prior year quarter. Compensation and benefits expense for the quarter was $10.5 million, which was up from the prior quarter and down from the prior year quarter, primarily due to fluctuations in revenue and variable incentive compensation. The number of company employees was 121 at the end of March '23 compared to 121 as of December of '22 and 115 as of the year ago March. Net interest expense for the first quarter of '23 was $1.6 million, including $1.2 million on our 2 trust preferred debt instruments, $111,000 on our senior notes, $65,000 on our credit line and $207,000 on our redeemable financial instrument. Loss from equity method affiliates during the quarter totaled $400,000. During the first quarter, income tax expense was $600,000 compared to $1.3 million in the prior quarter and $1.8 million in the prior year quarter. We will continue to evaluate our operations on a quarterly basis and may make adjustments to our valuation allowances applied against our net operating loss and net capital loss tax assets going forward. In terms of our balance sheet, at the end of the quarter, total equity was $82.4 million compared to $94 million as of the end of 2022. The nonconvertible noncontrolling interest component of total equity was $153,000 at the end of the quarter and $17,000 at the end of December of '22. Thus, the total equity, excluding the nonconvertible noncontrolling interest component was $82.2 million at the end of the quarter and $11.8 million decrease from $94 million at the end of 2022. At quarter end, consolidated corporate indebtedness was carried at $29.2 million, and our redeemable financial instruments were carried at $7.9 million. As Lester mentioned, we've declared a quarterly dividend of $0.25 per share payable on June 2 of '23 to stockholders of record as of May 18, of '23. The Board of Directors will continue to evaluate the dividend policy each quarter and future decisions regarding dividends may be impacted by quarterly operating results and the company's capital means. With that, I'll turn it back over to Lester -- or to Alicia to open up the call lines for questions.
Lester Brafman: Thanks, Joe. Please direct any off-line investor questions to Joe Pooler at (215) 701-8952 or via e-mail to investorrelations@cohenandcompany.com. The contact information can also be found at the bottom of our earnings release. Operator, you may now open the call line for questions, and thank you all for joining us today.
Operator:
Lester Brafman: Thank you all for joining us, and we look forward to speaking to you for our next quarter. Operator, you can now close the line.
Operator: This concludes today's teleconference. You may disconnect your lines at this time. Thank you for your participation.